Operator: Good morning, and welcome to Newmont Goldcorp's Second Quarter 2019 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded.I would now like to turn the conference over to Jessica Largent, Vice President of Investor Relations. Please go ahead.
Jessica Largent: Thank you, and good morning, everyone. Welcome to Newmont Goldcorp's second quarter 2019 earnings conference call. Joining us on the call today are Gary Goldberg, Chief Executive Officer; Tom Palmer, President; and Nancy Buese, Chief Financial Officer. They will be available to answer questions at the end of the call along with other members of our executive team.Turning to slide 2. Please take a moment to review the cautionary statements shown here, and refer to our SEC filings, which can be found on our website at newmontgoldcorp.com.And now, I'll turn it over to Gary on slide 3.
Gary Goldberg: Thanks, Jess, and thank you for joining our call. We delivered strong performance in the second quarter, and continued our work to establish Newmont Goldcorp as the world's leading gold business.Highlights for the quarter included: closing the deal to acquire Goldcorp with the overwhelming support of our shareholders; making steady progress on integrating assets and aligning teams with our proven strategy; completing an historic joint venture with Barrick to create the world's largest gold-producing complex; and meeting our ongoing commitment to deliver leading operational, financial and sustainability performance.Turning to the details on slide 4. The first pillar of our strategy is to deliver superior operational execution. In the second quarter, we produced 1.6 million ounces of gold, and delivered all-in sustaining cost of $1,016 per ounce, and continued to improve cost and efficiencies across the portfolio.We're on track to achieve a run rate of $365 million in annual improvements from the Goldcorp acquisition by early 2021, and we launched our Full Potential continuous improvement program at Peñasquito and Cerro Negro. This program has delivered more than $2 billion in improvements since 2013.The second pillar of our strategy is to sustain a global portfolio of long-life assets. During the second quarter, we approved the Awonsu layback to extend the life at Ahafo's open pit mine. We supported the completion of the Nevada Gold Mine's joint venture, and we continued to advance profitable projects including the Ahafo Mill Expansion, Quecher Main and Borden, all of which will reach commercial production later this year.The third pillar of our strategy is to lead the gold sector in profitability and responsibility. In the second quarter, we returned $590 million in dividends to our shareholders; maintained a strong balance sheet with an investment-grade credit rating, and nearly $5 billion of liquidity; and we were recognized as one of the top companies in the world for our leading social, environmental and governance performance. This performance starts with running safe operations.Turning to slide 5. While our combined safety performance improved in the second quarter, we remain focused on achieving zero harm across our portfolio. That focus includes, reporting and sharing significant events that hold the potential to impact safety and embedding our fatality risk management program to test the controls we have in place to prevent accidents and injuries.Over the last six months, we've also been driving efforts to eliminate live maintenance work as another effective way to protect our people from injuries. We were honored to be recognized as one of the world's leading corporate citizens by Corporate Responsibility Magazine, and the only mining company to make the list for our performance. This recognition is a tribute to the commitment our teams bring to leading sustainability performance and a key measure of how well we run our business.Turning to a look at our global portfolio on slide 6. Our operations are based in four regions and managed under our proven operating model. Taken together, Newmont Goldcorp offers investors, an unparalleled portfolio of mines, projects and reserves in favorable jurisdictions. In fact, 90% of our reserves are based in the Americas and Australia.Sustainable gold production, targeting between 6 million and 7 million ounces per year with another $1.5 billion of annual revenue from copper, zinc, lead and silver production and the financial flexibility needed to continue investing in profitable growth and delivering an industry-leading dividend.Finally, we offer strong leadership and a wealth of technical expertise to make the most of these assets. I visited Éléonore and Porcupine last week and I was pleased to see the progress the teams are making to align and integrate these operations and the ongoing work by the combined teams to make the Nevada gold mine's joint venture a success.With that, I'll turn it over to Tom on slide 7 to discuss our operational performance and recent integration work.
Tom Palmer: Thanks, Gary. Before reviewing our operational performance and integration work, I'd like to take a moment and welcome Rob Atkinson, our new Chief Operating Officer, who you will hear from next quarter. Over the past 25 years, Rob has delivered step-change improvements in safety, productivity and sustainability in the mining sector.We are excited to have Rob on board, as he brings a demonstrated commitment to building strong safety cultures and to leading and empowering teams to achieve meaningful business results. With his capability and experience, Rob's addition to our leadership team will help to drive the delivery of value we have identified through our combination with Goldcorp.Now beginning with a review of our regional performance on slide 8. Our North American operations were impacted by near-term challenges in the second quarter. The performance is expected to improve in the second half, as we work to fully integrate the Goldcorp assets and set them up for sustainable future success.At Peñasquito, operations safely ramped back up in June and concentrate inventories are almost back to normal levels. During the shutdown, the team brought forward maintenance on various plant and equipment. The remainder of 2019 and into 2020, grades are expected to steadily improve as we complete the stripping campaign in the main Peñasco pit. And we also launched our Full Potential Program at that operation and I'll touch a bit more on that later.On June 17, we began good-faith dialogue with a trucking company in the Cedros community. And just last week, the team hosted a session on-site. The stakeholders were able to see firsthand the focus we have on environmental compliance, order efficiency, social development and long-term community water plans and more.At Musselwhite, the rehab of the conveyor ramp is around 70% complete. Secondary egress has been successfully established, allowing us to recommence both development activities and work on the materials handling project earlier this month.The focus for the remainder of 2019 will be on replacing the conveyor system and using this period as an opportunity to get ahead on development work. At Éléonore, we have begun accessing higher grade in the Horizon five zone and preparations are underway to launch Full Potential in the fourth quarter. We also continued to advance materials handling project to improve productivity from lower levels of the mine.At Porcupine, the Borden Project remains on schedule to reach commercial production in the fourth quarter. And at Red Lake production at Cochenour was ramping up in the second quarter. However, in early July, we proactively paused the underground operations in order to strengthen our controls following an in-depth review of a historical underground area.Partial underground operations resumed a few days later, following the implementation of additional controls. And over the course of this quarter, we'll be installing some further control measures and expect to return to full underground operations during Q4.Turning to CC&V. We delivered steady production during the quarter and have signed a toll milling agreement with Nevada gold mines to continue processing concentrate in Nevada. In the second quarter, our Nevada operations performed as planned with Carlin safely completing its annual shut on Mill 6. And on July 1, we closed the Nevada joint venture and Barrick assumed operatorship of the Nevada gold mines. We look forward to working together and supporting the joint venture's efforts to unlock significant value over the years ahead.Turning to South America on slide 9. Yanacocha delivered another solid quarter, with continued higher grades in the Tapado Oeste pit and drawdown at La Quinua leach pad. And at Merian continued productivity improvements helped offset seasonal wet weather.At Cerro Negro, second quarter performance was in line with our expectations. And we anticipate a stronger second half as we reach higher grades from the Eureka and Marina Norte.We launched Full Potential earlier this month, with the focus on improving development and mining rates, maximizing recoveries and applying our asset management methodologies at that operation.Looking forward, Quecher Main continues on schedule, with commercial production expected in the fourth quarter. Turning to Australia on slide 10, Tanami, delivered another solid performance coming off higher grades in the first quarter. And we are starting to see the cost benefits from the transition to natural gas-fired power.Boddington continues to progress the stripping campaign in the South Pit and expects to reach higher grades in Q4. We recently advanced our autonomous haulage study, with the potential to reach a full funds decision later this year.If approved, the project is expected to improve cost and mining productivity, by converting the fleet of 39 haul trucks to autonomous operation, using the Cat command system.At KCGM, geotechnical remediation work on the east wall of the Fimiston pit is ongoing. We are starting to see production from the Morrison starter pit. And expect to reach higher grades in the second half.And Tanami Expansion 2 continued advancing towards a full funds decision in the second half. Engineering works are ongoing. And shaft sinking has progressed beyond the 150 meters.Turning to Africa, on slide 11, Akyem again delivered strong quarterly production on the back of higher grades. And new Full Potential initiatives associated with optimizing grounding and improving recoveries.At Ahafo, we continue to benefit from higher grades in both the Subika open pit and underground. We recently approved funding for further laybacks of the Awonsu pit. And while we anticipate first gold from these laybacks in the fourth quarter of this year, the majority of the benefits flow from 2024 to 2029.These laybacks extend the life of Ahafo surface mines by another four years. And the Ahafo Mill Expansion is nearing completion, with commissioning expected to start next month and commercial production in the fourth quarter, keeping us on course for a record year, in Africa.Following our review of geotechnical assumptions at the Subika Underground mine, we are assessing mining methods for the low levels of that mine. As we conduct this review, we are mining more laterally and as a consequence have reduced our 2019 outlook by approximately 40,000 ounces.Looking forward, at Ahafo North, we continue to work through the permitting process, engaging with the relevant government agencies and building upon our relationships with traditional leaders and local communities.By putting it all together, we delivered 1.6 million ounces and all-in sustaining cost of approximately $1,000 per ounce in the second quarter. With our global and balanced portfolio, allowing us to overcome headwinds at select sites with continued solid execution across the rest of our operations.Turning to a review of our operational outlook on slide 12, our 2019 guidance includes a full year for the Newmont operations, including a full year for our Nevada sites and a partial year for the former Goldcorp operations, from April 18 to December 31.Now outlook has been updated, to include the impacts from the blockade at Peñasquito, the conveyor fire at Musselwhite, the installation of additional safety controls at Red Lake and the impacts from the slip in the Gold Quarry pit at Carlin in late 2018.2019 is second-half weighted as we ramp-up the Ahafo Mill Expansion and Borden projects and reach higher grades at Cerro Negro, Peñasquito and Éléonore.Sustaining capital of $985 million, includes investments in tailings storage facilities, expansions at Ahafo and Peñasquito, VLF2 leach pad expansion at CC&V in addition to infrastructure equipment and ongoing underground mine development throughout the portfolio.Development capital of $575 million includes payment in Ahafo Mill Expansion, Quecher Main, Borden and conveyor remediation works at Musselwhite. In summary, we expect to deliver 6.5 million ounces of gold, an all-in sustaining cost of $975 per ounce in our first partial year as a combined company. This operational outlook does not include any of the benefits that will flow from our Full Potential work at Peñasquito and Cerro Negro or from supply chain improvements where we are actively progressing work.Turning to slide 13 for a look into our early successes. We have made excellent progress in the first 90 days of integration. On the G&A front, we recently completed our organizational design work, to resize the Vancouver office from a corporate headquarters to a regional office. This work has already captured $40 million per annum in labor savings to date. We have realized a further $10 million per annum in non-labor G&A synergies through the consolidation of insurance and benefit programs real estate and other quick wins. We have commenced the next phase of this work, which shifts the focus from Vancouver to target duplication across the operating businesses.Turning to our supply chain work. Newmont's experienced supply chain team is actively chasing value across several fronts. Quick wins are being achieved through the extension of best pricing and rebates and we are also leveraging our increased scale and volume to seek improvements on some of the input costs.Our Full Potential program is well underway at Peñasquito recently kicked off at Cerro Negro and we're preparing to launch at Éléonore in the fourth quarter. At Peñasquito, Full Potential began in early June, and we have our key subject matter experts on the ground working with the site team focused on opportunities in the areas of mining, processing, asset management, G&A and external spend.Another example of applying our technical expertise to turn these former Goldcorp assets around is our strategic resource development program. This program lays the groundwork for future business plans of testing an extensive set of mine plan options across a wide range of interrelated variables.The output from this work ensures that we are pursuing the optimal development and value path for operations. At Musselwhite, our strategic resource team is working with the site to understand the entire value chain and review critical trade-offs in physicals financials and risks to develop the best value for that operation.In summary, our structured approach to delivering value heads us well on our way to achieve the cash flow improvements of $365 million per annum. We expect 40% of the improvements to be realized this year ramping up to 80% next year, and 100% by 2021.Looking further ahead at our project pipeline on slide 14. Another key value proposition in our combination with Goldcorp is our industry-leading project pipeline. Leveraging our project delivery track record it provides the opportunity to establish a foundation for steady production and cash flow for decades to come. This pipeline gives us significant flexibility and we will continue to advance only those projects that meet our minimum hurdle rate of 15% at a $1,200 gold price.As previously mentioned, we recently approved the Awonsu layback and this project is now shown in execution along with Musselwhite materials handling, and the three projects we expect to complete in the fourth quarter this year:Ahafo Mill Expansion, Quecher Main and Borden, it's also worth noting that we shifted the Coffee project from definitive feasibility to pre-feasibility as we take a step back to perform further exploration confirm the resource advance permitting activities and improve our understanding of the asset.As part of our integration and annual planning work, we will continue to evaluate all projects through our rigorous and disciplined investment system. I look forward to providing updates on our project portfolio as well as our optimization work on the six former Goldcorp assets to deliver long-term value as we move ahead.With that, I'll hand it over to Nancy on slide 15.
Nancy Buese: Thanks, Tom. Turning to Slide 16 for the financial highlights. Before we jump in, it's important to note that results reflect the performance of Goldcorp assets from April 18 until June 30. In the second quarter, we delivered revenue of $2.3 billion which increased 36% over the prior year quarter with the additional sales from Goldcorp assets and higher realized gold prices; adjusted net income of $92 million or $0.12 per diluted share; and adjusted EBITDA of $679 million, a 25% increase over the prior year quarter.Cash from continuing operations was $301 million, a decrease of 25% driven by lower net income and higher accounts receivable at Boddington and Peñasquito with Peñasquito concentrate shipments recommencing in mid-June and port congestion at Boddington that delayed shipments near quarter end. Outstanding concentrate receivables at these two operations was more than $150 million, which we expect to collect in the third quarter. Those movements also contributed to a free cash flow decrease of approximately $220 million over the prior year quarter along with higher investments in development projects.We have collected $45 million of insurance proceeds related to the conveyor fire at Musselwhite of which $14 million was recorded as an offset to cost applicable to sales in the second quarter. As you will see in our detailed results, there are specific accounting and policy differences for the newly reported Goldcorp assets, including a reset in the basis of assets and liabilities to fair value and our changes to reporting for differences between IFRS and U.S. GAAP and the adoption of Newmont accounting policies.Some of these items include differences in the classification of certain investments as sustaining our development capital, the exclusion of resources and the calculation of depreciation expense and the impact on cost applicable to sales without deferred stripping costs. Other notable differences include coproduct accounting at Peñasquito, changes to the accounting for the mine's Silver Stream contract and the inclusion of Cerro Negro's Argentinian export tax in our AISC calculations.Turning to slide 17 for a review of earnings per share in more detail. Second quarter GAAP net income from continuing operations was $1 million. Primary adjustments included $0.16 comprised of $0.14 related to transaction and integration costs from the Goldcorp acquisition, such as severance payments, legal and banking fees and consulting costs; and $0.02 related to the Nevada joint venture transaction including cost related to defense; $0.04 related to reclamation and remediation charges at legacy Newmont sites; $0.05 related to a change in the fair value of equity investments; and $0.04 related to gains from the sale of exploration properties in North America. Taking these adjustments into account, we recorded adjusted net income of $0.12 per diluted share.I want to take a moment to thank the Newmont Goldcorp finance team and all the work they've accomplished to support the successful integration of the businesses in coordination with Barrick to successfully transfer ownership of our Nevada assets to the joint venture. As a reminder, our results for the third quarter will proportionately consolidate Newmont Goldcorp's ownership interest in Nevada gold mines for the terms of the joint venture agreement. We will present these results as a separate segment in our financial statements including the various elements of the P&L for disclosure purposes.Turning now to slide 18. We remain well positioned to execute our capital priorities including maintaining an investment-grade balance sheet, investing in the next generation of mines to improve margins and build a stronger reserve base and return cash to shareholders. Newmont Goldcorp has one of the strongest balance sheets in the gold sector, supported by a cash balance of $1.8 billion even after paying off $1.25 billion of outstanding Goldcorp debt at closing and returning approximately $590 million to shareholders in the second quarter.After the completion of several key financing activities in April, including a reset of our five-year $3 billion revolving credit facility and a successful exchange of Goldcorp notes, we maintain financial flexibility with a net debt-to-adjusted EBITDA ratio of 1.5 times. We also demonstrated our continued commitment to returns through a special dividend of $0.88 per share and a common dividend of $0.14 per share.Wrapping up with our 2019 corporate outlook on slide 19. We continue to invest in our future to secure the long-term stability of our business. For 2019, our support cost outlook is $325 million, which includes a portion of synergies from the Goldcorp combination, but also contemplates managing the Nevada operations from our Elko regional office through June 30. We are on track to deliver an annualized run rate of $85 million in G&A savings for 2020.Our interest expense is expected to be $280 million from our new debt profile and our depreciation and amortization outlook is just over $2 billion.Investment and exploration in advance projects is expected to be $450 million with near mine and greenfield exploration occurring across all regions and ongoing investments in advanced projects as we progress in the next phase of future growth. Finally, our consolidated adjusted tax rate is forecast to be in the range of 34% to 39% using a $1,200 gold price.Going forward, Newmont Goldcorp is well positioned to continue a trajectory of industry-leading financial performance by executing our capital priorities and staying focused on long-term value creation.And now I'll hand it to Gary to wrap-up.
Gary Goldberg: Thanks Nancy. Turning to Slide 21. Newmont Goldcorp delivered a strong first half in 2019. We are well-positioned to build on that performance in the second half and for decades to come.We will continue to focus on generating long-term value for our shareholders by executing our strategy which is to deliver superior operational excellence by focusing on safety and a culture of continuous improvement; sustain a global portfolio of long life assets by investing in the next generation of mines technology and leaders across our business; and to lead the gold sector in profitability and responsibility by maintaining high standards and living up to expectations of how a leading business should operate.I'll end by saying thank you to our team and to our investors for your support. It has been an honor to lead Newmont Goldcorp. I'm proud of what we've accomplished together over the last seven years and I'm excited about the future for the business.I have great confidence in Tom and his new leadership team as he takes over the reins as CEO on October 1st and I have great confidence in this team's ability to build on a strong foundation and advance Newmont Goldcorp's position as the world's leading gold company.Thank you for your time. And with that I'll turn it over to the operator to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from John Bridges of JPMorgan. Please go ahead.
John Bridges: Thanks. Good morning Gary, Nancy, Tom. It's been great working with you Gary. Best of luck in your new endeavors. I was just wondering with the new accounting Nancy that you spoke of how much of the lower earnings are related to that? The change in the loss of deferred stripping and the more conservative accounting. Have you thought about the impact that we've seen with these results as a result of the accounting?
Nancy Buese: Yes, thanks John. And absolutely that's something that we wanted to telegraph very early on because we knew there would be some significant differences. I would say the difference between IFRS and U.S. GAAP is probably the most material piece and we'd be happy to walk you through those in a bit more detail. And then certainly some changes between policies and as we've talked about the difference between development versus sustaining CapEx is probably the key piece of it as well as the co-product versus by-product accounting at Peñasquito.So, yes, that's probably a fairly material difference in the way you would have seen things reported at the Goldcorp level and we're very comfortable walking folks through the details of those to help make sure you're bridging to the way we'll be accounting for those going forward. But yes, our goal was not to surprise the market with that, but we've tried to telegraph that there would be some fairly material changes.
John Bridges: And then one of the things that seems a little bit counterintuitive is the switch from being able to depreciate underground mines against the reserves and resources. Now, I understand that just using reserves as per GAAP is a more conservative way of working, but it seems impractical particularly as you and other miners become more focused on underground mines. What's your thought on that? And would it be possible to lobby the SEC to change that?
Nancy Buese: Yes. Totally understand the request there and we don't disagree with you. However, we are settled a bit by the requirements of U.S. GAAP. so that might take more than just Newmont's desire to turn that around. But we totally understand the thoughts, but U.S. GAAP really requires us to only use reserve life to calculate depreciation.
John Bridges: Right. And then just if I may Subika, you mentioned that there's been a change in the mining plan there. What's going on?
Tom Palmer: John, it's Tom here. I'll pick that one up. As we look at some of the ongoing work and looking at some of the stresses as you move into the depths deeper into that mine, we're seeing higher stresses. So we're taking a step back to look at our mining method particularly the type of backfill we might need for that. So as we step back and understand that we've just moved out of mining laterally, so we can work through that mining plan -- mine planning process through the course of the business planning process this year. So, I'd expect as we move through to provide our longer-term guidance at the latter part of this year that we can provide more insight into that. But it's how we've managed higher stresses in that mine as we move into some of the deeper parts of it.
John Bridges: Okay. Great. Thanks. Best of luck Tom in the new role and best of luck Gary and others. Thank you.
Tom Palmer: Thanks, John.
Operator: Our next question comes from Chris Terry of Deutsche Bank. Please go ahead.
Chris Terry: Hi Gary, Tom and Nancy and all the best for you Gary and Tom in your new role. A couple of questions from me. Just starting on the new guidance, the 6.5 million ounces for 2019 taking into account the -- from April on the Goldcorp assets. How do we think about that number you provided in the context of the ongoing Full Potential program from here and as you transition into 2020 and moving forward? Is that a number you've largely reset as such and then you'll build from that with any optimization on Full Potential? Or can we still think about 2020 and beyond as still pretty fluid depending on the outcomes of your review of the assets in the coming six months? Thanks.
Tom Palmer: Thanks Chris. Tom here, I'll pick that one up. Look, the approach that we take with all of our operations and the Full Potential approach we take in coming in and running full potential at those operations is to start with previous best demonstrated performance and understand what you've done in the past and then building a plan on that basis that's underpinned by a robust resource model is then feeding a mine plan.And then we start to build some stretch in that in terms of the improvement. That's the starting point that Full Potential has as it comes into Peñasquito and Cerro Negro and Éléonore as well as our existing or former Newmont operations. So that's the basis at which we have worked with our 14 operations to develop our guidance for this year and that's the process that we're using to build our business plans for 2020 and beyond for Newmont Goldcorp.What we do with full potential is when we have a Full Potential Program we go through a diagnosis phase and then a development phase. Coming out of a development phase, you then have a series of projects that have clear value delivery linked to them, resources and accountabilities and a time frame. It's only when we have those clearly defined projects in place that we build them into our plans and our guidance.So as I said in my comments, you won't see Full Potential benefits built into our 2019 guidance because that work is only just starting at Peñasquito and Cerro Negro. We would expect to see some of those benefits for those two sites flowing into our 2020 business plan and our 2020 numbers. So we're very disciplined and rigorous in the way we look at our mine plans and the way we apply our Full Potential Program.
Chris Terry: Okay. Thanks Tom. And then just thinking about the medium term, so should we expect our updated guidance on forward years from late this -- later this year? And what's the sort of updated timing on any divestments in that prior sort of 6 million to 7 million ounce range that you talked about in the last quarter? Thanks.
Tom Palmer: Thanks Chris. I'll pick up the first part of your question and pass it across to Gary for the second part. We're right in the middle of our normal annual business planning process at the moment. That's the standard process we run through as we walk through that process and present our business plan to our board in the latter part of this year for approval. We'll then follow-up with longer-term guidance and we're currently targeting our standard time frame of December to be sharing that with you.
Gary Goldberg: And just to follow-up on the divestment question. Just a reminder there was no need to do any divestments as part of this acquisition and the whole process that we've gone as we work with Barrick to support and develop the Nevada joint venture.So we want to make sure we get in, get a good look at all the operations and projects that we brought in with the Goldcorp acquisition to make sure as we did with Newmont five years ago -- or five to six years ago in terms of going through all the assets to make sure they're delivery as strongly and as well as possible before we move forward with that process. So that's where we're focused.
Chris Terry: Thanks Gary. And the last one from me, just on a couple of assets specifically, on Musselwhite and pushing out the timeline on the repair work there. Should we assume that that can ramp up pretty quickly in 2020? Or is it too early to say what the impact might be on that year? And then for Peñasquito specifically as well, did the blockade have -- I was just wondering if you could go through a few more details on the impact that that had on perhaps mining inventory levels, other factors around the mine as well just to think about the second half and going forward? Thanks.
Tom Palmer: Chris, Tom again I'll pick both those up. So at Musselwhite, the fire damaged the full 2.5-kilometer conveying systems. So it's a process of rehabbing say after removal the damaged structure and rehab the ground control, a 2.5 kilometer decline. We are well advanced 70% complete on that rehab work.I was at Musselwhite a few weeks ago. I will just say that's work in progress and they're doing an excellent job in terms of ensuring that they're setting up that rehab for the long-term in a mine that has a very long life.We're right in the throes now of assessing bids for the fabrication installation of a new conveyor. So ultimately our timing will be determined by those bids coming in, so we'll gain greater understanding of that in the coming weeks. It will be in the 2020 though before that conveyor system commissioned and up and running.We are back in working on the materials handling project. That project was well advanced when it was paused because of the fire, so it's -- we're very much getting the final stage of that project and we'll be moving through, commissioning in the latter part of this year and having it ready and available in the New Year as that conveying system comes up.Our focus at Musselwhite is to ensure that there is the appropriate level of development work that we have the appropriate number of stopes open and then we have the drifts out to do the exploration work to map out the future of that mine, so that when we have that conveying system up and running we have the appropriate number of open stopes and the ability to be able to maintain the appropriate number of open stopes going forward.So I fully expect that when that mine comes back up, when that conveying system comes back up, it will come up very smoothly and we'll be able to hit our -- whatever the appropriate rate is out of that mine very smoothly and quickly.In terms of Peñasquito, as a result of that blockade there were no impacts on the operation itself. It was managed in a -- very appropriately in a care and maintenance situation and we did a lot of maintenance work through that downtime period. It also has ramped up very smoothly. We have been able to move -- concentrate to market very effectively, although as Nancy indicated both Peñasquito and Boddington have a little backlog of concentrate sales from the second quarter that will flow into the third quarter.The concentrate inventory levels by now are back to normal. The mine is running well. The plant is running well. The impact on the second half of this year will still move in the higher grades for gold, silver and lead. Grade stay about the same for zinc. As a result of the 50-day shutdown, we'll see some of those higher grades that we're expecting in the fourth quarter to move into 2020 and so we'll see that in our 2020 guidance as we bring that out later in the year.
Chris Terry: Thanks Tom. That’s all for me. All the best to you and Gary. Thanks.
Tom Palmer: Thanks Chris.
Operator: Our next question comes from Fahad Tariq of Credit Suisse. Please go ahead.
Fahad Tariq: Hi good morning. Thanks for taking my question. Just going back to the Goldcorp synergies for a second. Can you clarify the cadence of the synergies? I thought, I heard you say 40% this year, 80% next year and 100% by 2021. And if that's the case this year, is it right to say that none of that 40% of the $365 million would be full potential? It's all coming from G&A and supply chain? Just some clarity around that would be helpful.
Tom Palmer: Tom again I'll pick that one up. You're pretty much spot on. So a lot of the early quick wins from G&A, which we're seeing now and we’re still more to pursue as we move from Vancouver out to the operating sites. There's the quick wins that come from supply chain in terms of rebates extensions for the Goldcorp -- equipping the Goldcorp site. So you just see quick wins in supply chain and G&A, with G&A being the lion's share of that 40% this year.You'll then start to see next year both supply chain improvements in full potential flow, as we start to deliver on improvement projects at Peñasquito and Cerro Negro. And then as we move through the other Goldcorp assets through the course of next year, you'll start to see the remainder of that flow, primarily from full potential with some additional supply chain. So G&A, some supply chain, Full Potential really kicking in in 2020-2021.
Fahad Tariq: That's helpful. Thanks. And just as a quick follow-up, any surprises or anything interesting you've learned so far from the Full Potential work at Peñasquito and Cerro Negro? Anything that has been different than, perhaps your initial assumptions when you first did the due diligence on the mines? Thanks.
Tom Palmer: No surprises from our due diligence. There is everything that I expect to say that we are seeing, and I think there's the real the value proposition of Newmont's operating model sitting and having these six Goldcorp assets come into our operating model, and seeing the journey that we've been on places like Boddington and Tanami applied to operations like Peñasquito and Cerro Negro absolutely have water, and there's nothing's changed in my mind in terms of what we saw during due diligence and what we've seen over the first 90 days of running these operations. There's a need for technical rigor and discipline. We bring that. We've got key technical expertise. We're seeing some real opportunities in the full potential space.I think in Peñasquito, and I'm heading down there this afternoon, particularly the interface between the mind and the mill, which we see and have continued to pursue at Boddington. We see the real opportunities there at Peñasquito. And Cerro Negro is going to be really focused around mining and development rights underground. There's a real opportunity there. We believe we have the skills and expertise to bring the improvements in that space at Cerro Negro, so no surprises at all.
Fahad Tariq: Thank you.
Operator: Our next question comes from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: Thank you. Tom, just listening to what you're saying about the development at Musselwhite and have the folks there just to get that ahead of what you have been I suppose. Is that a continuing theme you're seeing across the Goldcorp operation, that just wasn't the development work done or stripping required to meet the needs of the mills? Is that the biggest problem in your mind?
Tom Palmer: To be frank Greg, yes. There was not the work done on exploration. There wasn't the work done on development, and that's absolutely fundamental in either open pit or underground mine. So, as we look at Musselwhite, Musselwhite had one stope open before the fire. That's unacceptable. We will not have...
Greg Barnes: Now, how many would it need, Tom?
Tom Palmer: It depends. We have to do our work on understanding the value, but you'd expect the mine the size of Musselwhite with the size of their stopes to have, five or six stopes open at any one time. So, before we recommission that conveying system, we expect to have the development work done to not only have six stopes ready to go, but the stopes have come beyond those and the exploration drifts to be beyond those too.I mean that's a real -- I mean, Musselwhite is our Tanami in Canada. So we need to be out in front of the mining work to be doing the exploration work to be mapping out that future potential of that operation. So that's -- our focus is now that we've got secondary egress is to be in there doing the development work, so that when the conveying system is ready, we can maintain the appropriate level of throughput through that mine, but also be doing the work to understand its future life.
Greg Barnes: So was that similar lack of development of Cerro Negro and Éléonore as well?
Tom Palmer: It's a similar thing. The thing we saw through our due diligence was the opportunity for us to come in and apply our rigor and discipline and operating model to those operations.
Greg Barnes: How long Tom, do you think it's going to take you to get these operations to where you want them to be?
Tom Palmer: Again as we talk about, as we marketed this transaction, there is 24 months, possibly at the 36 months for some of those operations to really get them to the level of performance that we would expect. It's a very similar journey. If you look back over Newmont over the last six or seven years, and we're at Boddington or at Tanami was back in 2012 or 2013 to where it is today, there's a good two, three years of work to get those operations set up for sustainable long-term value delivery.
Greg Barnes: Okay. That’s very helpful. Thank you, Tom.
Operator: Our next question comes from Carey MacRury of Canaccord Genuity. Please go ahead.
Carey MacRury: Hi. Good morning. Just got a question on Cerro Negro and Éléonore. Cerro Negro I think that tonnes throughput in the quarter is around 3,400 tonnes. I know Goldcorp was pushing 4,000 tonnes. And I think you've talked in the past about maybe that was too aggressive. And I'm just wondering should we assume a run rate similar to Q2? Or sort of what throughput expectations should we expect over the balance of the year and similarly on Éléonore?
Tom Palmer: Thanks Carey. So you won't hear us talk about tonnes per day out of the former Goldcorp operations. You'll hear us talk about – it might be tonnes per year, but you'll certainly hear us talk about what's the highest value or the best value out of those operations. In terms of the Cerro Negro, we are moving into a couple of higher-grade zones in – so you'd expect to see both higher grade and increased volume coming out of those underground mines in the second half, which is going to contribute to a back-half-weighted Cerro Negro for 2019. Similarly, for Éléonore you are moving into some higher-grade areas of Horizon five or six that will help back-half weight Eléonore for this year.
Carey MacRury: So should we assume that the rate of – before going into the mill will be more variable going forward or –
Tom Palmer: No, you'd expect the right going through the mill to be consistent going forward. But what we'll be focused on is what's the combination of buying a mill that's going to deliver the best value for those operations that will be a change in language you can expect to hear from Newmont Goldcorp.
Carey MacRury: And again for the balance of the year is that going to be similar to Q2 or is it going to be different in Q2? Obviously, you've mentioned higher grades in the back half.
Tom Palmer: Yes. Essentially one thing to remember second quarter didn't start with all these Goldcorp assets. We didn't start accounting for them until April 18. So that wasn't a full three months of production so keep that in mind when you look at the numbers.
Carey MacRury: Okay. And then maybe one other question on 2019 clearly there's a lot of issues this year with the Peñasquito and Musselwhite fire. I think your previous pro forma guidance for 2020, 2021 is 7.4 million to 7.5 million ounces. Is there anything that you've seen so far that you think those numbers would change materially? Or more or less do you think you can still get to those certain numbers again barring any improvements from the full potential?
Tom Palmer: Carey, we're right in the middle of our planning process at the moment. And as I talked earlier in terms of – we stepped back and ensure, we understand the resource model that's underpinning mine plans to resource risk, the investment in exploration we need to do to be managing our resource risk and then building mine plans off the back of operating assumptions that are based on previous best demonstrated performance and then have improvement built into those. So we're going back to those technical fundamentals for all 14 operations across Newmont Goldcorp. And as we're building those production profiles and then starting to move into the cost and so on and so forth, we're seeing production profiles consistent with what we expect to come into this transaction.
Carey MacRury: Okay. Fair enough. Thank you.
Operator: Our next question is from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everybody. I think that's me. Just wanted to – I have to shorten my name. I just wanted to – Gary first of all good luck to you on your next adventure. It was really great working with you. All the best. Just on a few things from myself. Maybe Tom just coming back to Ahafo just on the Subika Underground appreciate your talking that you see additional more stresses than you were expecting as you go deeper. Can you just let us know is this just in a certain portion of the ore body that this is occurring why you will have to adjust? Or is there is a general for the whole ore body?
Tom Palmer: It's for the Subika ore body, Subika Underground ore body. It is a general increase in stress as you move through depth. So it's then stepping back and saying what's the mining method that best suits that stress condition and what's – and associated that what's the appropriate backfill? So as we step back and look at that we are starting to look like a mining method that might be more bulk top mining, which ultimately I think as we're working our way through that has the opportunity to extend the life of Subika Underground because it will give us access to more ore.So, it's about working through understanding that stress mining method. And then looking at the upside opportunity of that changing mining method. But it's generally as you move, a depth metal body is seeing higher stresses. And therefore we have to think about how we -- what's the best mining method to match those.
Tanya Jakusconek: Okay. And when will that work be done by?
Tom Palmer: We're doing that work now. It's being built into our business plans for this year and going forward. So, we would expect to see that incorporated into our long-term guidance, so that we'll come out with it in December.
Tanya Jakusconek: Okay. And then just on -- so that was the change in Ahafo guidance that we saw from your previous guidance. And is it safe to assume all of the change in the Nevada guidance was a Gold Quarry adjustment?
Tom Palmer: That's correct. So you saw at Ahafo, we're mining laterally rather than heading down. So that's the impact there.
Tanya Jakusconek: Yeah.
Tom Palmer: And yes, that's the 70,000 ounces that we've been indicating from the Gold Quarry impact from the slip last year is. What you're seeing as take up in that guidance for our Nevada our assets that we just issued.
Tanya Jakusconek: Okay. And then maybe just on -- coming back on the Goldcorp assets, clearly your statement on the fact that, there's lack of underground development to sustain these assets at these -- longer term and just have to catch up.So Tom, if this is the case how confident, are you on the guidance that you gave us for 2019? Like, do we have enough development to meet the guidance numbers you put out?
Tom Palmer: Yes we do. And I'm very confident in the guidance numbers we've put out. We have applied Newmont rigor to arrive with those numbers. And I'm very confident in those numbers.
Tanya Jakusconek: That goes to underground operations?
Tom Palmer: Yes.
Tanya Jakusconek: Okay.
Tom Palmer: So, in some instances, 10-year, the development's there for now. But i.e. but at Tanami, we have great control drilling out three years in front of us with a 10-year life out in front of us. That's the expectation that I have for these Goldcorp assets as well.So it's -- some -- the example I gave at Musselwhite is here now. And there are other examples where we need to make sure, we're managing these assets for the long-term.
Tanya Jakusconek: Okay. So meeting the 6,600 tonnes a day at Éléonore 4,000 at Cerro Negro you have the stopes you need to make that for this year?
Tom Palmer: We have development work required to meet our production guidance for this year out of those former Goldcorp assets.
Tanya Jakusconek: Okay. And then maybe on Peñasquito, just on the open pit, you said it ramped up nicely. Is it grade -- are you seeing improvement in grade in the Q3 in the month of July? Are you starting to see that?
Tom Palmer: You will start to see improvement in grade across gold, silver and lead coming through. Yes. We're seeing it in the third quarter. And then you'll see it kick up more in the fourth quarter. So as you're going to see more of that in the fourth quarter than the third. But yes we are seeing that coming through from that mine as expected.
Tanya Jakusconek: Okay. So no surprises right now for Peñasquito? I'm sorry. I didn't ask on the throughput. Is the throughput back to 110,000 tonnes a day?
Tom Palmer: We'll have the throughput to deliver our guidance for 2019.
Tanya Jakusconek: Okay. Okay, look forward to seeing that. Thank you.
Operator: Our next question comes from Anita Soni of CIBC. Please go ahead.
Anita Soni: Hi. Good morning, everyone. And just in terms of the capital guidance, I think you've talked about it a bit. But I was just trying to figure out, how do I think about 2020 given the guidance that you have for this year?So, I guess my first question was -- and would someone address that -- with Goldcorp undercapitalizing. But it sounds like there needs to be a catch-up in capital. So, if I was looking at this would it be fair to just basically annualize the numbers that you put out given that this is about three quarters of the year for the Goldcorp assets for 2019?
Tom Palmer: Anita, Tom here. So that's a fair assumption.
Anita Soni: All right, and then, just moving on to Cerro, so then Cerro Negro would be -- given that it's sort of an $80 million -- I'm sorry not $80, $70 million going forward. For three quarters of the year we're looking at $100 million per ounce at Cerro Negro, between development and sustaining capital?
Gary Goldberg: Yeah. I think Anita, at this point in time that's a good estimate to make. As I say, we're right in the middle of our planning process at the moment. So, we'll be able to give you better guidance on that when we have our numbers later in the year. But for now, I think that's appropriate.
Anita Soni: Sure. And then maybe, Nancy, you can give me some clarity on the demarcation between development capital and sustaining capital? I understand Goldcorp was not as conservative as you guys are, but I'm just trying to understand what the $40 million in development capital at Éléonore is related to. I mean is that just catching up you're calling that catching up on underground development work is that what it is?
Nancy Buese: Anita, I don't have the details on that specifics, but I will double-check on that for you. I think it's really as you captured it it's a more conservative view from Newmont's view and things that we would consider sustaining CapEx versus development.
Anita Soni: I'm just trying to understand where you still draw the line though at that development capital. Is it -- I mean historically people would think of development capital as growth-related capital and it doesn't sound like you guys are forecasting any growth for Goldcorp assets?
Nancy Buese: Right. So again it's a policy difference and we would be more conservative in that view. And it would take under our definition of development capital we'll probably have a bit more in terms of our hurdle to get through before we would call it that. So I think that's really the biggest difference. And again we can walk you through some of the details of that offline if that's helpful.
Tom Palmer: As an example – Anita, Tom here. You do have in that development capital number for this year the material handling system at Musselwhite. Sorry…
Anita Soni: Yes. And I understand – related to Borden -- Porcupine is probably related to Borden. I guess the Musselwhite, I'm just trying to understand the Éléonore and Cerro Negro or presumably there's been a lot of growth coming down the pipe or there's no real big projects happening it's just a matter of catching up on sustaining.So just moving on to Peñasquito. And maybe you can help me out with this offline, but it does look like you already had pretty good grades going into this quarter. Throughput was obviously low and recoveries were obviously low. And I was just trying to understand on the recovery side of the equation are you confident with PLP in the guidance that they had put -- that Goldcorp put out for about 80% recovery rates coming out of gold in the PLP circuit considering that it only did 57 this quarter? I mean how much of that was related to the shutdown and how much was a rebound?
Tom Palmer: Yes, Anita I wouldn't look at the numbers out of this quarter for those few days and draw any conclusions because in commissioning the facility brings some lower-grade material higher carbon material through that so -- to get it back up and running again. So a key part of my visit down -- heading down there this afternoon is just to understand how that whole circuit is performing including PLP and that they've got the plans in place to deliver on their commitments for production this year from all circuits in the processing plant at Peñasquito including PLP.
Anita Soni: Okay. And I mean the grade already in the quarter though was I think was decent, I'm just kind of struggling through the ounce -- the change between ounces and short ton and your methodology. But it does look like it's around 0.8 gram per ton material in the historical sense of the way Goldcorp reported it. So just I'm just wondering why you decided to put higher-grade material through the mill and the recoveries were low.
Tom Palmer: Yes, I wouldn't look at a few days' operation this quarter and draw any conclusions. It was really ramping up facilities. So it's -- even now where only a couple of weeks even with the big processing plant layback a couple of weeks into July. I'm glad things settled down and so how the Q3 numbers look like.
Anita Soni: All right. Okay. Thank you very much.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Gary Goldberg for closing remarks.
Gary Goldberg: Newmont Goldcorp delivered solid second quarter results. And we will look forward to an even stronger second half as we continue to lead the gold sector in profitability and responsibility. Thank you for joining us and for your interest in Newmont Goldcorp.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.